Operator: Good morning. My name is Leandra, and I will be your conference operator today. At this time, I would like to welcome everyone to the TMX Group Third Quarter Results Conference Call. [Operator Instructions]. Mr. Paul Malcolmson, Managing Director of Investor Relations and strategy, you may begin your conference.
Paul Malcolmson: Thank you, Leandra, and good morning, everyone. Thank you for joining us today for the third quarter 2018 conference call for TMX Group. As you all know, we announced our third quarter results. The press release is available on our website, tmx.com. And this morning, we have with us Lou Eccleston, our Chief Executive Officer; and John McKenzie, our Chief Financial Officer. Following opening remarks from Lou and John, we will have a question-and-answer session. Before we start, I'd like to remind you that certain statements we make on the call today may be considered forward-looking and refer you to the risk factors outlined in today's press release and reports filed by TMX with regulatory authorities. Now I'd like to turn the call over to Lou.
Lou Eccleston: Thank you, Paul. Good morning, everyone. Thanks for dialing in. As Paul mentioned, last night we announced TMX Group financial results for the third quarter of 2018. On a quarterly basis, we reported solid year-over-year growth in revenue, earnings per share and cash flows generated. In the third quarter, and throughout the first 9 months of this year in fact, TMX has delivered balanced revenue growth in all key business areas. Overall revenue growth for the first three quarters was up 22% with a 7% increase in organic revenue. each quarter of 2018, we have achieved earnings growth when compared to last year. John will take you deeper into the numbers in a few minutes, but as I stated in the earnings release, TMX' positive Q3 results were driven by strong performances across our business, led by Trayport and our equities, derivatives, fixed income trading and clearing services. We are seeing how our portfolio solutions, which includes capital formation, trading, clearing, data and analytics, combined with a global revenue base, has positioned us to achieve long-term growth. Our results demonstrate how the TMX model has diversified in 2 important ways. First, our transaction-based businesses span multiple platforms and multiple asset classes. And secondly, we have substantially grown a portion of our revenue derived from current sources. With the Trayport acquisition, more than half of our 2017 revenue on a pro forma basis was from recurring sources. This diversification and shift to a greater balance strengthened the ability of TMX to deliver significant value through all market cycles. I want to focus my comments this morning around the progress TMX has made in preparing for the future, the steps we're taking to fortify our main growth areas, and how we are deploying resources necessary to maintain -- to sustain TMX' success in the long term. At Trayport, we again saw strong revenue growth in the core subscriber business in the first 9 months of the year, up 9% over the same period last year, driven by growth in key drivers, including an 8% increase year-over-year in the number of trader subscribers and an increase of 7% in the average revenue per user with the first 9 months of 2017. We also had a leadership change at Trayport towards the end of the quarter. And on behalf of all of us at TMX, I'd like to thank Kevin Heffron for his contributions to building the Trayport business, and we wish him well. We are excited to have Peter Conroy taking on the leadership of Trayport business. As many of you know, Peter is the former President of Shorcan Brokers, TMX Group's fixed income interdealer broker, a business he held over the past 10 years. Peter's now President of Trayport reporting directly to me. Peter's laser focus on clients and his team-building acumen coupled with his experience with strategic investments in technology were instrumental in Shorcan's success in winning market share over the years he led that business. His entrepreneurial spirit, proven track record in growing businesses and Peter's extensive knowledge book TMX and the broker and trading community are all key assets to help us drive continued future growth at Trayport. Peter and members of this Trayport team will be here in person at our Toronto headquarters alongside TMX senior executives and business leaders to present at TMX' Investor Day on Thursday, November 29 from 11:30 to 4:30. Turning now to our capital formation business on TSX and TSX Venture Exchange, macro conditions have had a negative impact on finance activity not just here in Canada but around the world. But as I said, our business is now built to deliver value through all market cycles. So despite an industry backdrop of slow public listings activity, our markets have continued to diversify, expand and grow, particularly at the TSX Venture Exchange level where we are far and above the world leader. Overall new listings on TSXV were up 59% compared to the first three quarters of 2017. This is a significant increase and it was driven by an increase in corporate listings. There were 89 new issuers as well as 64 capital pool companies or CPCs, which are a unique vehicle for private companies to pursue a public listing. They also included the first ever CPC from Israel. Last month, the World Federation of Exchanges did a study that looked at public funding for small and medium-size enterprises, or commonly known as SMEs. We view the SME marketplace as the global growth capital marketplace. Growth capital is the lifeblood of building a business and supporting economic prosperity. it fuels expansion, creates jobs and drives investment. And one of the foundational characteristics a business must have is a sustainable value proposition that meets the needs of the market and clients, and TSX Venture Exchange is the #1 growth capital marketplace in the world. Again according to that World Financial -- World Federation of Exchanges study, listed companies on TSX Venture Exchange account for 24% of the growth capital or SME marketplace in the world and 91% of the entire marketplace for the Americas. 44% of all graduates, meaning companies that move from junior to a senior exchange in this global growth capital marketplace, were from TSXV to TSX. And third, TSXV ranked #3 in the world in global capital marketplace for total equity capital raised in 2017. The unique features of the TSXV model developed over decades by the resource sector, including our CPC program, represent a dynamic vehicle for companies of any type to generate growth capital and to define entirely new industries. If you remember back to just 2013, there were no publicly traded marijuana companies, there were no publicly traded blockchain companies. And today 5 sure years later, these companies are flourishing on TSX and TSXV. As of September 30, our exchanges had 43 issuers in the legal count sector and a total market value of $47 billion. We had 15 blockchain-related issuers with a combined market capital of $781 million. And TMX equity markets continue to flourish as a breeding ground for innovation companies where we recently hit a significant milestone. In Q3, we surpassed our record year for new listings in the innovation sector and reached 45 by September 30, which beats our record of 41 for the year set in 2016, and we still have a full quarter to go. Shifting now to the derivatives, sustained momentum in activity on MX through the first 9 months of the year drove revenue 9% higher compared with the same period last year. Last month,MX launched extended trading hours, opening for trading at 2 a.m., or 7 a.m. in London, to make our benchmark products available for trading during peak times for global markets. The early returns have been very positive, with approximately 40% of volumes in interest rate products already coming from outside of the country. There is a sizable increasing demand for Canadian current age and derivatives around the world and an opportunity for long-term international growth. Along with improving the overall debt to liquidity for all participants over time, Luc Fortin and his team are excited about the prospects of working together with MX' domestic and global clients to find additional ways to strengthen MX's stature among the world's leading derivatives markets. And as we position TMX for future success, it's important that we have the strongest and most innovative leader. So along with appointment of Peter Conroy it Trayport, we're are excited to have 3 new leaders join TMX in Q3, each with significant mandates and impressive credentials. Early in September, Claire Johnson joined as President of TSX Trust, our transfer agency and corporate trust services provider. Claire is an industry expert and respected leader with a 20-year track record in securities custody and corporate trust services, most recently at CIBC Mellon. Her mandate is to enhance the quality of service TSX Trust provides and bring new client-centric solutions to market to drive growth. Claire report to Loui Anastasopoulos; Head of Capital Formation. Also in September, we announced a new leader in our data division as Sarah Ryerson joined as President TMX Datalinx. Sarah comes to TMX from Google where she held leadership roles in sales and business strategy in Canada and also in the U.S., serving most recently as head of industry, financial services, which is a role which she was responsible for driving revenue growth and innovation in the Canadian banking and insurance sector. She is responsible for leading the growth of TMX Datalinx with a focus on product development, implementation of enhance commercial models and expanding into new markets. Sarah reports to Shaun MCive, our Chief Client officer. Replacing Peter as leader of Shorcan is Michael Gibbons, a seasoned entrepreneurial and forward-thinking leader with a long-standing relationship in the financial industry in Canada and abroad. Michael comes to us most recently from TD Securities where he was managing director, global head of FX running TSX global wholesale FX trading and sales business. Prior to TDA Michael held leadership roles in foreign exchange in Bank of America and CIBC World Markets. Michael has taken over the executive and operational responsibilities for Shorcan, reporting to for Luc Fortin. Montréal Exchange CEO and TMX head of trading. So in closing my remarks I just want to these new leadership appointments into the context of TMX' growth. People run businesses, they drive growth, they want to make investments and technology decisions. People are TMX' greatest resource. And as you can see we continue to make key growth investments in our business and in our people. Peter Conroy at Trayport, Claire Johnson at TSX take over leadership roles at our 2 fastest-growing businesses. Sarah Ryerson joins the business in the midst of our reinvention. And with Mike Gibbons joining our team, we gained another experienced innovative and successful leader. We continue to perform and execute today, but always with a keen eye on building for the future. So at this point, I thank you for your attention. We look forward to your questions. And with that, I'm going to turn the call over to John.
John McKenzie: Thank you, Lou, and good morning, everyone. Thanks for joining us today. We are very pleased with the third quarter results that we reported, as Lou's talked about. We reported last evening with revenue growth of 27%, reflecting strength across all segments of our business. Organic growth was up 8% in the third quarter, excluding Trayport. And we reported strong earnings performance with $1.02 in diluted earnings per share, up 10% over last year, and adjusted diluted earnings per share of $1.19, up 12% over Q3 '17. In fact, this was our best third quarter on record from both a revenue, EPS and adjusted EPS perspective. Earnings growth was also driven by a continued disciplined approach for expense management and again demonstrating the leverage in our business model. Now looking at revenue, we experienced growth across the board. The 5% increase in capital formation revenue was largely driven by TSX Trust, which was up 23% reflecting higher transfer agent services and margin income. Revenue from initial listing fees was up 27%, while revenue from both sustaining and additional listing fees was relatively flat year-over-year. With strong volumes in Q3, all of our trading and clearing businesses performed well. Equity and fixed income trading revenue was up 10%, and CDS revenue was up 9%. On the derivatives side of the business, revenue from trading and clearing was up 9% as well. The revenue increase was driven by strong volumes across our businesses, though the impact was partially offset by the impact from lower fees on the TSX market on close facility, as well as by a less favorable product MIX in our derivatives business. Revenue in our global solutions insight and analytics sector, or GSIA business, was up 73% over last year, largely driven by the revenue from Trayport of almost $28 million in Q3. And core data business including Trayport was up 6%. This higher revenue was from subscriptions, enterprise agreements and data feeds and a onetime increase in revenue from benchmarking indices related to prior periods. Increased colocation work-up revenue as well. In addition, there was a favorable FX impact in Q3 2018 compared to Q3 of 2017. You will see that we provided an update on Trayport subscribers including those related to traders, since they drive over 50% of Trayport's revenue. Revenue in Q3 from the core subscriber business grew about 10% over last year. And trader subscribers grew almost by 8%. The average revenue per subscriber excluding Contigo, a nonsubscriber-based risk application business, was up 7% compared with Q3 '17. As you know, we have many initiatives underway and which we believe will continue to drive further success at Trayport, and you will hear more about these initiatives at our Investor Day on November 29. Now turning to operating expenses. Operating expenses in Q3 '18 were up $21.9 million or 26% compared with last year. Now this largely relates to Trayport costs of $18.7 million as well as higher employee performance incentive plan costs of $3.6 million or $0.05 per share, per basic and diluted share, as compared to Q3 '17. And this is really as we true up our accrual for short-term incentives based on the strong fundamental performance in the business this year. Looking at our results on a sequential basis, revenue decreased by $16.7 million from Q2 '18, reflecting decreases in capital formation and derivatives clearing revenue as well as fixed income trading and CDS revenues. The decreases were partially offset by an increase in global solutions insight and analytics revenue, while Trayport revenue was essentially unchanged from Q2 to Q3. Operating expenses were down $13.4 million in Q3 '18 compared to Q2. And as you will recall, in Q2 of '18 we recorded a commodity tax provision of $7.6 million and a lease termination payment of $4.5 million. Income from operations decreased from Q2 '18 to Q3 '18 due to the lower revenue and partially offset by the lower operating expenses. Turning to the balance sheet. On a pro forma basis, including Trayport's adjusted EBITDA for the last 12 months ended September 30, our leverage, as defined by our debt to adjusted EBITDA ratio, was about 2.6x. We held almost $262 million in cash and marketable securities at September 30, over $90 million in excess of $170 million that we hold and retain for regulatory and credit facility requirements. In early October, our Series A debentures of $400 million matured and were repaid through the issuance of commercial paper. In October, we also reduced our shareholding in CanDeal from 47% to 14%, and as a result received proceeds of $12.8 million, including cash consideration of $7.8 million and an unsecured promissory note of $5 million. As of the end of October, we have paid down a further $55 million of commercial paper, bringing our current debt to adjusted EBITDA ratio to under 2.5x. On capital allocation, our board declared a quarterly dividend of $0.58 per common share to be paid on December 7, 2018 to shareholders of record on November 23, 2018. At 49%, this payout ratio was within the range of our domestic and international peers. And we remain committed to moderating that range and maintaining a payout ratio consistent with our peers and over the long term. At this point, I will turn the call back to Paul for the question-and-answer period.
Paul Malcolmson: Thanks, John. And just a quick clarification on the data business, the core data business was up 6%. That's excluding that Trayport business. Now Leandra, I'd like to turn it back to you for instructions on the Q&A process.
Operator: [Operator Instructions]. And your first question comes from the line of Nik Priebe with BMO Capital Markets.
Nikolaus Priebe: I thought a question on the derivatives side. With the introduction of extended trading hours on MX in early October, are you able to give us a bit of a sense regarding initial market response from international participants? Recognizing that it's still early days and volume's probably also benefited from volatility in the months, but I just wondered if there's anything you can share with respect to incremental volumes from Europe or subscriber growth subsequent to quarter end or anything like that.
John McKenzie: You're absolutely right that it is early days, but despite being early days, we've seen contract volumes in that business exceed our earlier expectation. So you are seeing thousands of contracts trade in the early period. We're not at the point of being able to disclose specific information, but we will be able in the short term. And as that continues, we would expect to see impacts on the MX subscribers later on. But the early volume indications in the open period were ahead of expectations.
Nikolaus Priebe: That's good. And then staying on derivatives, it kind of looks to me the average RPC might have been a bit lower than the prior periods in Q3. Could you just give us a bit of color on how the product mix might affect that?
John McKenzie: Yes, I will always guide you when we look at the MX business to look at the mix of actual products because they are priced differently. Specifically with a product like CGB Canada government bond products, which tends to be a very large volume product, a lot of incremental growth but it's priced average lower than some of the other futures. So that is the product mix that we were talking about in the commentary. So very strong growth overall, but some of that growth was the lower-priced products relative to the average.
Nikolaus Priebe: Okay, that's good. And one last one for me before I requeue. Recognizing that you're probably not yet prepared to update us to meet some on the clearing house integration initiative, but I was wondering if you can speak at of generative complexities you've had there with respect to the timeline and budget?
John McKenzie: The complexities, actually we're very close neck, by the end of this year, we're going to have a good sense of core set of requirements and our discussions with the clients on the street in terms of how we really, what I'll call bridge the gap between what you get in terms of a product out of the box and what kind of intricacies and complexities there are in the Canadian market that may be unique versus other marketplaces around the world. And that's what it's going to take the time, to really nail down requirements and get to a consensus with the participant community as to what we're going to deliver in a solution and what's going to change. So the expectation I'll give you is that we'll be able to talk in the first quarter of next year with much better direction around actual go live dates and impacts on budget and CapEx. with respect to go live, I will give you the phone that the components of the project. If you remember there's a number of phases of this initiative. The components that relate to replace in our risk platform actually will go live in the first quarter of next year, as planned. And the expectation is even as we rebaseline timing for the larger clearing system replacement for CDS and CDCC, that is still anticipated to be live in the back half of 2020. So no change from the earlier guidance we gave you.
Operator: Your next question comes from the line of Jaeme Gloyn with National Bank Financial.
Jaeme Gloyn: First sort of questions is around leverage. I was just hoping you can update on the plans with the commercial paper, and what rate you're currently paying on that paper?
John McKenzie: So with the commercial paper, I don't have an exactly on me, but you're seeing right around 2x on that. The disclosure to rates is in the financial statements in notes. So given that we took on $400 million of commercial paper to do the maturity and we've already paid back $55 million of it, you should expect, all else being equal, we would use excess cash that as it comes in to continue to reduce that paper, Jaeme. With the refinance we did in June, aside from the commercial paper, all of our debt is now long term in terms of 5 years or more. So it's really the CP that we'll be paying down over the next little while. And you've already noted, we raised in commentary where we are in terms of our leverage ratio today at -- just under 2.5. We are largely back to where we are from a leverage standpoint prior to acquiring Trayport. So just basically coming up on the year and anniversary of that closing, we brought that leverage back down to where we were predeal.
Jaeme Gloyn: Great. I'm sorry, did you say it was 2% or in the commercial paper? Or what was that number?
John McKenzie: I don't have the exact number on the, but we will follow up for you and I will give you the exact number.
Jaeme Gloyn: Thank you. following up on the leverage now back at pre-Trayport levels, can you update us on your capital plans maybe for 2019, 2020, and what you're thinking for your target leverage, which you were at 2.5 or kind of at the midpoint I believe.
John McKenzie: So from a capital allocation and priority standpoint, the priority remains driving shareholder value. So if there's going to be -- if there are additional opportunities that we can identify to invest in the business with things like Trayport or other growth initiatives that will drive the growth components of our strategy as in capital formation, analytic or derivatives, we're certainly continuing to look for these opportunities. But you can imagine , given market valuations, we're being quite prudent in that regard. So in the case of -- if there are no -- if we're not identifying those type of opportunities, we're going to continue to use that excess cash flow to reduce our debt structure. Once we get down closer to what I'll call 2x, I'd say that is the floor of the optimal capital structure for this. And we would consider other ways of returning value and creating value for shareholders at that point.
Jaeme Gloyn: Great, and just one more for me then around the -- just around the MX subscriptions. There seems to be a little bit of volatility around those subscription numbers. I was hoping you could maybe just shed some light on how that evolves from quarter to quarter, and what you're. Seeing on that front?
John McKenzie: Of only in the sense that it reflects demand from quarter to quarter. It's something that we are looking to see how we drive going forward. If you look at that history, the spike you see is in Q1 where you had just generally a lot of market volatility, so incremental demand for subscriptions across the board. If you normalize all that out, you'll see what we've seen is actually some steady growth in MX subscriptions from quarter to quarter, and in Q3 of this year again up versus year ago. So that again you're seeing is reflective of the incremental demand for the products when we're growing that business at 9% to 10% a year. And the demand that we're doing in terms of bringing in more European traders in, we would anticipate you would see further increases in it.
Jaeme Gloyn: I just need to sneak one more in actually around the MOU with the Chinese exchanges and clearing houses and the conversations you've had previously around growing internationally listings. If you can just sort of talk to how that MOU, how other strategies are helping, and where we sit in terms of that growing internationally listings?
Lou Eccleston: Yes, I'll take that one, Jaeme. I mean there's 2 different pieces there, right? so the MOU that we just signed, or actually 2 of them, were really around serving as the North American gateway to help open the Chinese bond market. And they're making really a lot of moves, a lot of initiatives. I was there personally a few weeks ago and spent time talking to market participants, government officials, the people's bank. And they're very serious about trying to develop a bond market with global participation. So the great thing for us is that we take something like a CDS which has already got relationships in North America with TTC, with all the participants who would want to be in that bond market. And we can make it much easier. Remember we've already been RMB hub for North American for a couple of years, so we leverage that as well. So this is about leveraging an asset like CDS as well our North American presence to help open up the bond market. Separately when it comes to listings, I've gone through some of the numbers with you in terms of the progress we've made in innovation and in international listings. And also you've seen some moves by the Chinese to help open up the listings market as well, both inside of Canada but also to help raise capital from foreign investors. They just very recently, last couple of weeks, waived the requirement to have to be below 50% if you're a foreign investor. So there's a lot of moves being made. We're very much engaged in all over the world, not just in China. But for us, the one part of the MOU which is very interesting is around the bond market being the gateway. So participants can come through CDS without having to have direct relationships one on one in the Chinese market. And then separately from the listings market, we continue to talk about how we can grow that global platform whether it's in China or whether it's in Israel as I mentioned, or in California. But clearly, there's a move right now when you look at what's going on inside China for the government to try to open up and to bring in more foreign investment, and not just inside of China, but actually have securities like the bonds be held outside of China.
Operator: Our next question comes from the line of Paul Holden with CIBC.
Paul Holden: Just wanted to follow up on MOU with the Shanghai clearinghouse, because you kept emphasizing North America, not Canada. So I just want to be clear on that. It opens up an opportunity for that business with U.S. institutional investors as well.
Lou Eccleston: Correct. And in particular U.S. and Canadian buy-side institutions, because the first phase of that, there really isn't a robust secondary market in China. So it's really going to start as a new issue market, which means it's going to be an attractive holding for buy-side long investors in particular and diversified investors. So it is in North America link, it's not just for Canada, it's for both Canada and the U.S.
Paul Holden: That's obviously important, given the size of the U.S.
Lou Eccleston: Yes.
Paul Holden: So as a person, I've spent a lot of time, had to spend a lot of modeling in Excel. How do I think about this opportunity? Is there any kind of -- I know you don't like giving guidance. But are there any kind of parameters you can give us to think about the potential sizing of this?
John McKenzie: To be candid, Paul, not at this stage. This type of relationship with this type of market is very much an investment in the long term. I use the word investment lightly because it's not a large investment in terms of dollars. It's an investment in terms of people relationships and effort. The way that we think about it as we go forward and we get more color and granularity in terms of the scope of the bonds that we can support there, is it will start to look like the business that we have in CDS with respect to custody and trading of fixed income securities. So we get as we go along, we'll be able to give you more guidance, but it's too early stage at this point.
Lou Eccleston: That's exactly right. I mean it's obviously a part of it will obviously depend on how quickly the Chinese bond market does develop. But the one thing we can say as we think about this long term, we are thinking as more of the recurring revenue stream or a subscriber then we are a transaction piece. So we've already got that flow through in terms of over going to approach it. But right now we're testing, we're already testing links, so it's moving. And we're hopeful that sometime next year, we could actually start doing transactions, which will give us a better feel. But as John said, a long term, longer-term focus.
Paul Holden: Okay, fair enough. In terms of Trayport and the 4 strategies you outlined, can you help us think about one -- which ones may have an impact to 2019 revenue, and to what you think the biggest opportunity is long term in terms of revenue potential?
Lou Eccleston: Yes, as we said last time, I'm not sure there is one in particular. I think when you look at for example how it might phase, the build-out or the digitization of the broker capabilities is probably going to be built through '19 and start to have more impact in '20. On the other hand, if the globalization of liquid natural gas moves fast, there's going to be a greater demand in the shorter term for more desktops. So it's really about the market, but we think that all of these -- and in particular for looking at it for next year, I think how fast our globalization goes and how quickly, which is moving very well for us is development of analytics on top of that data. So those will probably -- be the two most immediate ones. And the other ones are more dependent on the build-out and what happens with a global market.
Paul Holden: Got it. Okay, that's helpful. And then finally, if you can provide us with an update on sort of the growth you're seeing in the trust business?
John McKenzie: I'm happy to. So trust, 23% up in the quarter, it's largely an expansion of the client base. So it's the same dialogue we've been having with you quarter-after-quarter. The only difference after Q3 with respect to Q2, which was even higher, was that Q2 has some more seasonal type revenues in it, because there is elements of trust business that can be done around corporate year-ends or corporate action activity or things like that. So about 23% in terms of total growth in the quarter year-over-year, largely driven by an expansion in the client base.
Operator: [Operator Instructions]. Your next question comes from the line of Graham Ryding with TD Securities.
Graham Ryding: Just to follow up on the TSX trust, so Q2 and Q4, should we expect those to be seasonally strong quarters because of year-end transactional activity?
John McKenzie: Certainly Q2, Q4, we'll see more this year because we're now just kind of 2 years in this actually being trust mandate as opposed to just transfer agent region activity. We tend to have more clients that would have Q2 annual meeting as opposed to the large bank clients that would be at the end of the year. So it will be more tilted to that. But as we build the business and we're getting more of those larger blue-chip clients, we'll see that change over time.
Graham Ryding: Okay, got it. And how do you -- I assume there's a certain amount of issuers that are already using a competitor for transfer agencies. So what is the strategy approach to win existing business as opposed to going after that new issuance business, which I think you're well positioned to capture?
John McKenzie: I mean, you're absolutely right on the new issue side. We're getting 40% to 50% of that business already. Certainly on the existing issuers standpoint, we got a sales team that is treating it like a pipeline approach, as you would expect them to, targeting their clients that we think are the best ones to move over in terms of the service offering. There are certain types of clients that because of their size or complexity, that we may not be the best service provider earlier on. And we look at those clients and we look at the book of what their programs are and ease of us being able to bring them over, to provide them with a superior service model that they would get from the incumbent. That's for the corporate side. On the other side if you look at the ETF market, if you remember we were talking about last year and through the last couple of quarters as we actually put in place a preferred pricing program around ETFs. ETF issuers who use us as transfer agent receive a break on their listing fee. With that change, we've been able to move over, secure over 50% of the ETF market . We're going to continue to pursue those engagements.
Graham Ryding: Okay, that's good color. Canadian market data feed, you gave a little bit of commentary around that. Can you -- I'm not sure I captured it all. What's the increase quarter-over-quarter and year-over-year, I guess?
John McKenzie: The large driver of the increase was demand for the derivative products, that the other core of equity feeds are relatively flat year-over-year, and derivatives that drove the bulk of the demand.
Graham Ryding: Okay, and is that ongoing, recurring demand as opposed to anything sort of onetime? Or I'm thinking about...
John McKenzie: Ongoing, recurring demand.
Graham Ryding: Okay. And my last question, you've talked in the past about a mid-single-digit revenue growth target, sort of I guess through a cycle. What does that imply we sort of look at your are different business lines? What are my -- how should we think be thinking about the organic growth potential of your individual business lines?
John McKenzie: So I'm going to ask you to come and see us at the end of the month for that one. One of the things that we are intending to do, and it's not just advertising for Investor Day with the teaser campaign, when we do the Investor Day and we do the deeper dive in terms of the different business areas and the growth rates what we're going to try to do, is give you exactly that kind of direction, in terms of not just the broad average of where we see the enterprise going in terms of top line and bottom line, but what businesses we see as being the upside drivers, what kind of ranges of growth that you can expect over the long term, which ones we think are more market perform. And we're going to give that to you in a better detail. I'd rather not do it today on the call, given that we will be doing it to the broader audience in a couple of weeks.
Lou Eccleston: The other thing that I would just add, Graham, on that as you get that deeper dives into each of the businesses, that's the comment I made at the beginning of my comments that we really try to build a portfolio that can perform regardless of market cycle. And so there is growth -- either growth in businesses obviously underlying growth rates, and what are the pipelines, what are their runways, how these are all going to grow. But I also think really important is to get a good sense of how a different business will perform given different cycles. And you've seen that virtually every quarter based on where the cycle is, one business doing really well, another business at a different part in cycle. So it's not understanding the business, but also understanding the portfolio.
Operator: Your next question comes from the line of Geoff Kwan of RBC Capital Markets.
Geoffrey Kwan: Just wanted to follow up just on MX subs. Is it similar to what I think is on the equity side, where if you've got people that are getting a bunch of quotes and if it hits a certain level, then it will get counted as a subscriber and vice versa? If they were at one quarter, but didn't use it as much the next quarter, they would drop out. And that's why there's maybe a little bit of quarter-over-quarter volatility? or is it people really being dynamic becoming an actual subscriber, and then dropping off in another quarter?
John McKenzie: Yes, It's more of the latter, Jeff, because it's more of a professional market as opposed to a retail market. So when you're seeing that, you're seeing professional subscribers and not that impact of non-pros that it can lead up to a cap and get counted.
Geoffrey Kwan: Okay, thanks. And then the other question I had was I know it was small, but you mentioned reducing the stake in CanDeal. I'm just wondering what the rationale or kind of the origination explanation around that?
John McKenzie: That rationalize actually quite simple. Given that historical model we've had around ownership of CanDeal it with TMX having 40% and 6 primary dealers that use it sharing the rest, it was a bit of a barrier to finding ways to expand the business. So what we've done is we've reset the ownership models so that each of the seven shareholders are holding an equivalent ownership so that equally they're all equally incented to drive and grow the business going forward. So that was the objective. It's a get more strategic growth out of the business. And have our shareholder be a barrier to having banks but more business into it.
Operator: We have no further questions at this time. I will now turn the call back over to Paul Malcolmson for closing remarks.
John McKenzie: And just before we do that, before we turn it back to Paul, I want to come back and answer a question that came in through Jaeme. I realized that the guidance we gave on around CP, you will not find in the financial disclosures this quarter, because the actual CP purchase has happened in October as opposed to September. But the direction that we gave for the commercial paper of kind of just over 2% is the right guidance for you to use in your model. Paul?
Paul Malcolmson: Thanks, John. And just one final ad for Investor Day, November 29 at our new headquarters in Toronto, we really do encourage people to come in person. there's going to be product demonstrations. I find that people find that more useful than participating over the web. So please register for that. And the contact information for media as well as Investor Relations is in today's press release. We'd be happy to take further questions throughout the day. Thank you again for joining us and have a great weekend.
Lou Eccleston: Thank's everybody.
Operator: This concludes today's conference call. You may now disconnect.